Operator: [Foreign Language] Welcome to the TC Transcontinental Fourth Quarter and Fiscal 2021 Results Conference Call. During the presentation, all participants are in a listen-only mode. Afterwards, we will conduct a question-and-answer session and instructions will be provided at that time. As a reminder, this conference is being recorded today, December 9, 2021. I would like to turn the conference over to Yan Lapointe, Director, Investor Relations. [Foreign Language] Mr. Lapointe, please go ahead.
Yan Lapointe: Thank you, Julianne. Good afternoon everyone on the line and thank you for joining us on the call. Welcome to TC Transcontinental’s fourth quarter and fiscal year 2021 results conference call. You can find the press release, the presentation and the annual MD&A with complete financial statements and related notes on our website at tc.tc under our Investor Relations section. A replay of this conference call will also be available on our website after the call. We have with us today, our President and Chief Executive Officer, Francois Olivier; and our Chief Financial Officer, Donald LeCavalier. We also have with us Peter Brues who will succeed Francois and will officially assume the position of President and Chief Executive Officer tomorrow. Peter will also say few words after Francois remarks. Before I turn the call over to management, I would like to specify that this conference call is intended for the financial community. Media are in listen-only mode and should contact Nathalie St-Jean, Senior Advisor, Corporate Communications, for more information or interview requests. Please be reminded that some of the financial measures discussed over the course of this conference call are non-IFRS. You can refer to the MD&A for a complete definition and reconciliation of such measures to IFRS. In addition, the conference call might also contain forward-looking statements. These statements are based on the current expectations of management and information available as of today and they involve numerous risks and uncertainties, known and unknown. The risks, uncertainties and other factors that could influence actual results are described in the Fiscal 2020 Annual MD&A and in the latest annual information form. With that, I would now like to turn the call over to our President and CEO, Francois Olivier.
Francois Olivier: Thank you, Yan, and good afternoon, everyone. This is a special day for me as this is my 56 and last quarterly earnings call as President and CEO of TC Transcontinental. Working with Peter and the management team on the transition over the last couple of months has made me reflect on the strong and resilient company we have built, our agility and the success of our transformation. We have stood the test of time, overcoming challenges, and adapting to major changes in our environment and in our business. When I became CEO in 2008, almost 80% of our revenues came from our Canadian operations, with the balance coming from our printing operations in the U.S. and in Mexico. Our Media sector represented close to $700 million in revenue, and a significant portion of this came from publishing magazines and newspaper which were dependent on advertising revenue. A lot that's changed since then. To date, we are a very different and diversified company, with most of our sectors were facing headwinds 10 years ago. To date, a large majority of our revenue comes from businesses with favorable prospects. While we continue to have a North American focus, we now have operations in eight countries with half of our revenue generated outside of Canada. TC Transcontinental has transformed from being a Canadian company to an international organization that is more resilient than ever, whether it be to economic shock or technological change. The results we released today reflect this resilience. Our 2021 performance shows that our business is solid. When excluding external factors like the Canadian wage subsidy, the price of resin and the exchange rate, we delivered a much higher consolidated EBITDA than last year. In Packaging, we saw an unprecedented rise in the resin prices almost every single month saw a new increase. In addition, the Canadian dollar declined versus the U.S. dollar, making the comparison with 2020 much harder, but we stayed focused on what we could control. We worked diligently to pass through the higher resin prices us for our contractual agreements to minimize the negative impact. Looking at fiscal year 2021 as a whole when excluding the impact by higher resin prices and the additional week, we delivered an organic revenue growth close to 2% and EBITDA margin over 16%, which is in line with what we have said at the beginning of the year. In Printing, we suddenly lost close to half of our revenues in March of 2020 when governments put in place measures to limit the spread of COVID-19. Despite the continued impact of restrictions on our customers, our revenues gradually begin to recover. In fiscal year 2021, our revenues grew despite the fact that we face a tough pre-COVID comparable for the first five months. As we continue to improve our efficiency and benefited from a higher volume, we delivered an adjusted EBITDA margin of 21.3%, excluding the Canadian Emergency Wage Subsidy. That's an improvement of 120 basis points over fiscal year 2020, and 130 points over fiscal 2019. How did we achieve this resilience? Our decision to move into flexible packaging over seven years ago proved to be the right one. We started slowly, taking the time necessary to build our industry knowledge, build our team, while delivering great value to our customers. And then, in 2018, we took a big leap with our acquisition of Coveris Americas, the pivotal moment for our company. And again, we took the time necessary to stabilize the business, increase margins by delivering on our synergies and now we are seeing the results. As we continue to make acquisitions and grow organically through innovation by developing sustainable solutions for our customer, the percentage of revenue coming from a stable sector like flexible packaging will continue to rise, and this will serve to protect us in times of economic challenges. By continuing to generate strong free cash flow in the long-term, our Printing sector will participate in our growth and play a key role in our future. Here's why. We have seen another transformation in our printing sector portfolio. 13 years ago, newspapers, magazines, and catalogs sprinting represented a significant part of our revenue. Today, following the secular decline in those industry and our strategic portfolio management, only 15% of our printing revenue come from these markets. Over the years, we successfully adapted our printing platform to the market and improve our cost base. We also offset some of the loss revenue by expanding into new verticals like in-store marketing. We grew the in-store marketing business from about $12 million in revenue 10 years ago to our run rate of around $200 million today, and this is only the beginning of our ISM journey as we have a long way to go and to grow. When we include other growing activities like book, premedia and also factoring our growing media revenue, these growth activities represent today around 35% of combined revenue of our Printing and Media sectors. That percentage has increased significantly over the last five years, and we expect that it will continue to do so organically and through acquisitions. As we grow, this activity helps stabilize print's overall revenues by offsetting the decline of other activities. Print is actually undergoing a similar successful transformation as TC Transcontinental win too with this move into flexible packaging. Finally, another important strategic shift has been in our Media sector. Over the last several years, we sold almost all of the publishing assets to retain only those related to education and to the construction industry. Markets that are not dependent on advertising revenue, and these have proven to be not only resilient, but growing as well. I am proud that we have successfully transformed TC Transcontinental in each of our three sectors. And I'm equally proud that we did so while maintaining a strong balance sheet. While we always use leverage prudently, we were not afraid to take calculated risks when our opportunities showed up. For example, we invested over $800 million 13 years ago to build a state-of-the-art national print platform, a key strategic move that led to our successful consolidation of the Canadian print market. The success we have today in our Print sector is in part a direct result of these investments. We were not afraid to do it again in 2018 when we acquired Coveris Americas for $1.7 billion, another key strategic move to cement our move into flexible packaging. We then successfully integrated the acquisition and delivered on the plan synergies and our margin improvement objectives. And each time we use our strong and stable cash flow from operations to bring the debt level back below two times in order to be ready for the next opportunity. This sound financial management is another one of our strengths. We can do this again, given the opportunity. I am leaving today, very proud of what we have accomplished as a team. Simply we did what we say we would do. We transformed the company by divesting assets in declining markets and entered a flexible packaging space. We also built a strong printing sector with solid profitability and growth potential in the significant portion of its portfolio. I am confident that TC Transcontinental has a bright future for three simple reasons. First, our strategies are sound, and have put us in leading position in the three sectors we operate in. Second, our solid financial position give us the means to achieve our ambitions. It allows us to continue to invest and transform our print and media portfolio and to grow our flexible packaging platform, while delivering on our sustainability objective. And third, we have an experienced and talented team with Peter, a great successor lined up, the right person for the job. Unified by a strong corporate culture, the team is working together with a common long-term vision. Finally, I'd like to thank our employees for the many years of hard work and dedication, the customer for their confidence, the Board of Director and the Marcoux family for their guidance trust and support over the year. And finally, you are analysts and investor for a productive relationship over the years, as a credit to you, many of your questions have help us refine our thinking, your feedback and advice over the years has been much appreciated. With that, I'll turn it over to Peter.
Peter Brues: Thank you, Francois. Since joining the Board in 2018, I've had the opportunity to watch TC develop from Canada's print leader complimented by a solid specialty media group into a business that is balanced by strong packaging operation. Spending time with Mr. Marcoux, Isabelle and Francois, I appreciate the effort and passion that has created a successful business, driven by a strong culture and entrepreneurial spirit. Over my first six weeks, I've worked closely with Isabelle and Francois to ensure a smooth transition. I appreciate Francois and the team positioned us to successfully transition the businesses leadership by focusing on finishing the year strongly. It gave me the opportunity to spend my first week, meeting and listening to coworkers and customers. Having had one-on-one meetings with over 70 coworkers, I can confirm the quality of the team. Our coworkers are smart, hardworking, good people who exemplify TC's values and who are determined to win. Having had the opportunity to meet many customers, I'm convinced that the team has established strong relationships. Our customers appreciate the TC is an organization that is committed to supporting their success. Francois should be extremely proud of the team he has led and the business they have built. The investments in people, innovation and capital have been positioned us to be the leader in all our sectors. So to conclude, I appreciate the trust that the Marcoux family and the Board have placed in me. I've loved my first six weeks. And as I take on the role of CEO, I'm excited by the opportunity to work with the team and build an even stronger business. And now I'll hand it over to Donald.
Donald LeCavalier: Thank you, Peter and welcome. On behalf of the management team and I, let me take a moment to thank you Francois for your many years of leadership and dedication to our customers, employees, and investors. I know I speak for all of us when I say that we will miss you and wish you all the best. Now, turning to our results. In term of numbers for the fourth quarter on slide six, we reported an increase in revenue of $120 million or 18.3% versus last year. This was driven by higher pricing in packaging, following our diligence pass through of higher resin cost to our customers, our organic growth in Packaging and Print, and by the acquisition of BGI Retail in our Print sector. This year, the fourth quarter also included an additional week. Excluding the extra week, both the Print and Packaging sectors recorded solid volume growth. As expected, the revenue growth was partially offset by a negative currency impact of $16 million, mainly in Packaging due to the rise in value of the Canadian dollar versus the U.S. dollar. On the profitability front, EBITDA was negatively impacted by the three same factor as last quarter, but to a lesser extent. First, we received a much lower Canadian Wage Subsidy this year. We received $3.7 million this quarter versus $14.5 million for the same quarter last year. Second, short-term contractual lags in passing through higher resin prices to our customers. And third, the stronger Canadian dollar. In total, these three factors impacted EBITDA by more than $20 million in Q4. We were able to upset most of these headwinds with strong operational performance, higher volume, and with the extra week to deliver an adjusted EBITDA of $140.5 million for the quarter. Considering the business context in which we operated, inflation, labor shortage and supply chain issues, this was a strong performance. Financial expenses increased slightly following the currency gain recorded last year and also due to the extra week this year. The tax rate was at 23.7% in the fourth quarter in line with our mid twenties guidance, leading to adjusted net earnings of $0.81 per share for the quarter. Now moving to slide seven for the sector review. In our Packaging sector, in the fourth quarter, we recorded organic revenue growth of $88.1 million. This was mainly due to the pass through of higher resin prices, but also included the positive impact of having an extra week and volume growth of more than 2%, highlight the strong performance of our advanced coatings group during the quarter. Going forward, this group should also benefit from the recent acquisition of H.S. Crocker as one of its two plans is specialized in labels for the pharmaceutical industry, in addition to the launch of the total medical product portfolio. We also continue to see solid performance from the rest of our packaging groups. Exchange rates mainly the strong Canadian dollar had a negative impact of $14.9 million leading to packaging revenues of $417.4 million in the fourth quarter. Moving to profitability. As risen prices were still increasing in the spring and summer, we still a negative impact in the quarter from the lag and passing through price increases, although lowered and what we saw in the last two quarters. Despite this impact, we were able to deliver an EBITDA of $57.9 million. The latter was in the line with -- was in line with last year due to good operational performance, volume growth, and the additional week. Considering that it included over 300 basis points of negative risen price impact costs by lag and pass through and dilution caused by related increase in revenues, we were also pleased with the EBITDA margin of 13.9% for the quarter. Excluding the impact of reserve prices, packaging margins would have been higher than last year. On slide eight, you can see that our Printing sector had another very strong quarter with 14.4% of organic growth versus Q4 last year. The extra week was the contributor, but excluding its impact we also saw strong business recovery with organic growth in the mid single digits. It was especially high in our growth activities like in-store marketing and book printing, where we saw double-digit growth. This growth with driven by existing customers spending more and by new customers. Revenues in the quarter were also positively impacted by the acquisition of BGI Retail in the in-store marketing space. As Francois mentioned earlier, our print portfolio is changing and a larger part of its revenues is coming from growth activities, both organically and through acquisition.  Printing adjusted EBITDA for the quarter was $81.1 million compared to $79.5 million in Q4 2020. This is a solid performance when we considered that the wage subsidy was $9 million lower than last year, demonstration of our efficient operational performance. Excluding the wage subsidy, adjusted EBITDA margin in Print for the quarter was at 23.3% in line with last year. On a full year basis, it was 21.3% compared to 20.1% last year, a 120 basis points improvement. In our Media business you may recall that seasonally it was more pronounced in Q4 last year. This year was back to a more normal level with approximately 38% of its annual revenues in the fourth quarter. On a full year basis, the Media sector had another excellent year, with close to 10% revenue and EBITDA growth when excluding the subsidy received in 2020. Corporate expenses were higher than last year, mainly due to the stock-based compensation and non-recurring costs that included the extra week and our vaccination clinic. Turning to cash flow from operating activities, we generated $92.7 million in the quarter. The variation with last year is mostly due to higher inventory, which continues to be impacted by risen prices. As we indicated last quarter, we continue to increase our investment in CapEx with a total spend of close to $34 million in the quarter, bringing us to $138 million for the year. These investments will position us well to capture growth opportunities and will help us meet our 2025 sustainability objectives. Finally, we distributed $19.6 million in dividends. Despite the investments we made during the quarter, we continued to maintain a very strong financial position with over $660 million of available liquidity at the end of the quarter. In conclusion, overall, we delivered an excellent quarter and ended the fiscal year strong. As for the outlook, in Packaging, following investments we've made in new equipment, the sign of new customer contracts and the introduction of the new products to market, we expect to generate organic growth for 2022, excluding the impact of resin prices and the 53rd week of 2021. As for profitability, we expect to grow packaging EBITDA in fiscal year 2022. Assuming no major resin price increases, the negative impacts from the lag in risen pass through we experienced this year are not expected to reoccur. Risen will, however, still have an impact on margin percentage due to the higher revenues. This being said, the strong efficiency gains we made during the year across all our sectors will stay with us and should reflected in our profitability. In Print, we expect volumes to continue to recover. We also expect to see growth in our in-store marketing, both printing and other growth activities. This gave us confidence that we should see higher revenues in fiscal 2022 when excluding the extra week of 2021. In terms of profitability, we don't expect to receive any wage subsidies in fiscal 2022, but we expect volume growth in printing to act as a partial offset to that. Therefore, excluding the impacts of the subsidy and the additional week in 2021, we expect growth in adjusted EBITDA for fiscal year 2022. Corporate costs at EBITDA level should be around $40 million for the year.  In terms of the use of cash for the year, we will continue to pursue potential acquisitions and invest in our future through our CapEx program. To that end, depending on the timing of potential key investments, CapEx in fiscal year 2022 is likely to be similar to 2021. Our tax rate should continue to be in the -20s and as far as for cash taxes, we estimate around $60 million for the year. On that note, we will now proceed with a question period.
Operator: [Foreign Language] Thank you. One moment please. Ladies and gentlemen, we will conduct the question-and-answer session. [Operator Instructions] Your first question comes from Mark Neville from Scotiabank. Please go ahead. Your line is open.
Mark Neville: Hi, good afternoon. First off, Francoise, congratulations and best of luck, and Peter congratulations as well.
Francois Olivier: Thank you.
Mark Neville: Maybe my first question, just on, Donald, on pricing within packaging, at this point, have you sort of fully caught up on your pricing adjustments, if not sort of how far behind and so when sort of we expect maybe fully caught up?
Donald LeCavalier: Yeah. We're almost there. Just a couple more months. as you know, most of them is about a two to three month lag. We had a few at six that are longer to caught up, but they're not meaningful. So, I would say one or two more months, and we have seen in certain grade of resin price decrease. So it should in some area stabilize and maybe even sort of resin, like I said, turned the other way. So a month or two, but each month is a lot less, Mark, because we are at the end of the lag.
Mark Neville: Got it. In terms of the outlook for 2022, just trying to, I guess, estimate sort of baseline. Again, you're sort of excluding, [indiscernible] and a few other things you're expecting growth. But I guess my question within Print, sort of the 21.3% margin, the number to think about growing off of, on whatever the sales might be. And then, I guess the same question in Packaging, again, just trying to find a baseline for EBITDA or EBIT, sort of axing out all these one-time items?
Donald LeCavalier: Mark, on the margin, obviously we're really proud of the 21.3% that we delivered in fiscal 2021. I think our print margin going back to 2017, if I'm not wrong. And we said it for many years and the intention with print is to protect a 20% margin and to produce a lot of free cash flow. So this is the direction we're going. Obviously, we're growing in business like in-store marketing that are not the same margin that we have in the business, those margins are going up. So 20% is what we are aiming for to protect in the future.
Mark Neville: But in terms of the -- maybe absolute dollar figures, when you're talking about growing next year, each segments excluding wage subsidy, excluding next week, is there sort of round numbers you could help us with?
Donald LeCavalier: Regarding model, you may talk with Yan, but what we're certainly facing, in the first five months of the fiscal 2022, we'll have an easier comfortable if we compare to last year. If you look at the growth that we add this year, first quarter we're very negative compared to 2020, then almost last second quarter. And I think close to 15% in the third quarter and a very -- again, good growth in this quarter. So from what we see, and obviously I won't comment of what's going to happen with COVID in 2022, but the threat is good at least for the first half of the year. And we have good momentum with the part of the business that's growing right now. So this is our -- overall we confidence to deliver growth in 2022.
Mark Neville: Okay. Maybe one last question. Did you -- maybe I missed it, but have you disclosed the purchase price for the Crocker acquisition?
Donald LeCavalier: No.
Mark Neville: Okay. Thanks for the time. Appreciate it.
Operator: Your next question comes from Drew McReynolds from RBC. Please go ahead. Your line is open.
Drew McReynolds: Yeah. Thanks very much. Good afternoon. And congratulations Francois and Peter. And Francois, I just want to say it's been an absolute pleasure working with you, let's say a class act all around. So, just all the best in your future.
Francois Olivier: Thank you.
Drew McReynolds: A couple of follow-ups for me. I guess one just big picture for you, Peter. I know, obviously, doesn't sound like there's really any change here in the strategy or the priorities for the company, but maybe talk to talk that at a high level. And then secondly, on the CapEx, little higher in fiscal 2022, then certainly what is in our model. As we look kind of through the medium term, is this now a new run rate for the total business? Or do you still expect some ebb and flow from these levels?
Peter Brues: Thanks Drew. So, what I'd say is, first, while I'm new to the day-to-day, and there's certainly a difference between day-to-day and being a member of the Board, I've been part of the Board for quite a while now. So from a strategic point of view, I've been across, and been part of the Board team that's approved the company strategy. So for me, I'm more than excited to take on the role, understanding that we have a print and media business that are very strongly positioned to create value for our customers. We have a print business that now has lags that have growth elements to them that I think are important and to continue on. So for me, there's a strong future for print. And from a packaging perspective, I come from that part of the industry and I'm excited by the opportunity to grow the business significantly. So I don't see a change in the strategy.
Donald LeCavalier: In terms of your number, Drew, for as model, as we said in 2021 we're higher than last year, we say that this year we might be close to 2021, but those are specific years where we see opportunity for us to invest in capacity growth, innovation and sustainability. But I won't say that this amount is the new benchmark. It's specific to some investment we'll make over a two-year period, but this is not the benchmark for the long-term with the current amount, the way it is right now.
Drew McReynolds: Okay. Super. And maybe one follow-up, and it's a little bit related to the last question. You quantified the impact of the extra week, $57 million in revenue. Can we just kind of simplistically roll that down EBITDA to get -- EBITDA impact of that extra week in the quarter, is that kind of a fair way to do it?
Donald LeCavalier: Yeah. You can make some regarding to the sectors, but don't forget that corporate doesn't deliver any EBITDA. That's an extra cost. So, it's not a question that divided by the number of weeks, but it will give you a good benchmark by the way. So, let's consider that we have expenses at corporate level that comes into this 53rd week also. So it's not the equivalent.
Drew McReynolds: Got it. Got it. Yeah. Thanks for that. Okay. Thank you very much.
Operator: Your next question comes from Stephen MacLeod from BMO Capital Markets. Please ahead. Your line is open.
Stephen MacLeod: Thank you. Good evening. Good afternoon or evening. Francois, congratulations on your long tenure, and Peter look forward to working with you. A couple of a couple of questions here. Specifically when you think about the Packaging segment in the quarter and sort of what you've seen on year-to-date basis, can you talk a little bit about where you're seeing the volume growth in terms of the end markets in the segments, and if there's any differentiation across that spectrum?
Donald LeCavalier: Well, the one I mentioned advanced coatings in the medical space, we had a good quarter. But for the most part, all the sectors we overate in whether its dairy, the consumer space or the agriculture in LatAm, the level of activity is pretty good. So, everybody participate to the organic growth, positive organic growth in Q4. And we expect everybody to participate in 2022. So, we highlighted for Q4, the coating business around the medical space that have the best year-over-year growth, but there's not a specific sector that is over-performing or one that is underperforming. We have good loading in most of our factories, and frankly, we have more supply chain issue in terms of delivering our customer then we have a right now problem with the loading.
Stephen MacLeod: Great. Thank you. And then for Peter -- and I know you sort of addressed this in the previous questions, but can you just talk a little bit about sort of where your priorities are? Obviously, understanding that there's no necessarily change the strategy considering you've had Board oversight on that, but can just talk a bit about where your priorities are over the next sort of six to 12 months.
Peter Brues: I'd say, Steven, is my priority in the short-term our early has been around customer, and coworkers. And so for me, I don't want to pretend that after six weeks I'm going to extend, telling you what my focus will be over the next year. I think the starting point is to get a strong understanding of the business, and speaking to people and customers gives me the strong understanding and I still have a bit of work to do there. So, I think when we catch up next quarter, I'll be in a better position to answer your question more.
Stephen MacLeod: That's great. Thank you. And then just finally, I was wondering if you could sort of just summarize if you have it in front of you, just the CEWS dollar impact in both, the Printing segment and the Packaging segment.
Donald LeCavalier: Well, in the Packaging segment this year didn't have impact. We received minimum dollars, but overall, as it comes to the base level, we received this year 50% of what we received in 2020. And obviously, as I said in my opening remarks, we don't expect to receive any dollars. So you can look at our MD&A it's close to $30 million of the -- if you want -- coming from that end of fiscal 2022, and it's mainly in print level.
Stephen MacLeod: Okay. That's helpful. Thank you. That's it for me.
Operator: [Foreign Language] [Operator Instructions] Your next question comes from Adam Shine from National Bank. Please go ahead. Your line is open.
Adam Shine: Hi. Thanks a lot. Good afternoon. So, Francois goodbye, at least as it relates to Transcontinental, and of course, I wish you well. And meanwhile, hello to you, Peter. Just a few questions left, I guess, in Packaging, something that looked interesting was that the Canada revenues doubled, is there anything specific to that? Whether it's, again, the advanced coatings or just general performance, but that one -- that was sort of stood out as interesting. Maybe I'll pause there and move on to the others after.
Francois Olivier: I think we'll need to take that offline. I'm kind of surprised by your comment, you just mentioned that the Canadian revenue in packaging have doubled?
Adam Shine: Yeah.
Francois Olivier: Well, we'll take it offline.
Adam Shine: Okay. Fair enough. When we think about some of the disclosure around printing as it relates to outlook, is it fair to say that, given the moving pieces and acknowledging, axing out the 53rd week that the level in fiscal 2022 should be ultimately slightly above that of fiscal 2020, it was at a reasonable way, maybe for you there now to look at printing revenues?
Francois Olivier: It will be above, Adam, because what's happening is the thing that are decreasing now in printing the most are not a significant part of the portfolio anymore. And what is growing double-digit like ISM and book is becoming to be a more significant part of the portfolio. And then retail has been growing this year compared to the COVID year. And we expect, especially with what's going on with the price of food and going up in Canada, that the retail player are going to be more relevant than ever before going forward. So that's why we -- as Donald mentioned that excluding the 53rd week, we see growth in printing, and the transformation of the portfolio is that 35% of the portfolio -- combined portfolio what I call the traditional Transcontinental, which is print and media is actually growing. And in a lot of those sectors are growing double-digit. So -- and we have a view to make that to continue to grow that. So, the outlook on revenue is going to improve from what it was a couple of years ago. The only thing that we are not sure about is the impact of the COVID in 2022, and nobody could predict that. And obviously when restriction happen, in general, retail is affected and when retail is affected -- while a big part of the print portfolio is related to retail, especially the new sector of ISM is in retail. So, that's the color I can give you.
Adam Shine: Okay. No, I appreciate that. And then, maybe just one last one for Donald, just in regards to the $40 million or so of outlook in corporate costs line for fiscal 2022, sort of similar to that of the past year. Obviously some puts and takes, some benefit perhaps earlier in the year on the Qs at the same time, you did have some additional costs as you alluded to on the vaccination front. Anything else in terms of incremental buckets of items, whether it's headcount or anything else that we should be thinking about in terms of moving forward into next year?
Donald LeCavalier: No, no. I think if you compare it to this year, obviously, we have some one timer, but the share -- as you know, the share units increase and you aware that we hedge most of the cost impact, but volume wise, we were hit this year and I guess, then you threatened [ph] because now since the acquisition of Coveris, we have more people that are part of this program. So, therefore, this is the first year where we have the full run rate of the new cost of this program. So this is why it's higher this year, it was higher for some, another few one timers, but this is why we're comfortable with the $40 million for next year.
Adam Shine: Okay. Super. Thanks a lot.
Donald LeCavalier: Yeah.
Operator: Your last question comes from David McFadgen from Cormark Securities. Please go ahead. Your line is open.
David McFadgen: Thank you. Yeah. I just want to also echo my congratulations to Francois and Peter. A couple of questions. Just on the corporate cost lines, you indicated that fiscal 2022, you expect it to be about $40 million. Was it $40 million in fiscal 2021 and if any we didn't hear that?
Donald LeCavalier: It was higher than that though. I'll give you the exact numbers. $41 million.
David McFadgen: $41 million? Okay. And then, in your outlook you talked about packaging organic volume growth in fiscal 2022. You thought it would grow despite the additional week, but do you think you could grow even with that additional week in fiscal 2022? Or do you think that's tough to say?
Donald LeCavalier: For packaging?
David McFadgen: Yeah.
Donald LeCavalier: Well, I think, what we -- should be similar in terms of percentage to what we have in 2021. So, that's what we're going to.
David McFadgen: Okay. And then, I was just looking at the cash flow statement. I noticed there's a large working capital drain or investment in fiscal 2021. And I'm just wondering, do you think you could recover some of that in fiscal 2022, or what -- kind of what's the outlook for fiscal 2022 on the working capital front?
Francois Olivier: Yeah. We definitely want to have a better working capital. But what was really hit us this year is the impact of the resin price. And it hit it us not only in terms of inventory, which -- the impact was very large, but also on the AR side, because your sales -- you're selling to your customer. Therefore the AR comes with inflation of resin price also. And on the supplier side, we will use -- all the discount we can use. So, therefore, we're less affected by that. So, overall, we're very satisfied with the way we manage the receivable, the AR in Canada, the COVID impact. But it's most -- most of the impact, as I said, is related to the resin price. So, if you compare it to next year, I won't make any prediction over where will be the resin price. If it's stable or lower, we should be in a better position. And we'll make sure that we get better on the working capital overall.
David McFadgen: So, do you think -- it's sort of sounds like you would need resin price to decline.
Francois Olivier: What I'm saying is that by far the biggest impact this year to explain that they get it over to working capital is link with the price of the resin, a large part of inventory, the largest increase we had, it was on the inventory side and it was due to the pricing, a little bit on the quantity. And this time where we have issues with the supply chain, we were more -- we want to do up a little bit more in our stocks, to make sure that if anything happen, we have enough to cover our needs for our clients. But price had a huge impact. I'm not saying that we bet on the resin price to decrease to better working capital, what I'm saying regarding your question, next year, where we will be, we will make everything to be in a better position, but that's excluding the fact that resin price may have an impact again next year.
David McFadgen: Okay. All right. Okay. Thank you so much.
Operator: [Foreign Language] There are no further questions at this time. 
Yan Lapointe: Thank you all for joining us on the call today. And I look forward to speaking to you soon.
Operator: [Foreign Language] Ladies and gentlemen, this concludes the conference call for today. Thank you for participating. You may now disconnect your lines.